Jos Sclater: Good morning, everybody. Thank you for those of you that came to see us face-to-face, and thank you for joining those only telephone lines. A lot has happened in the last six months. Geopolitical and economic uncertainty have both increased substantially. But in the face of the turmoil, we remain resolute in pursuing our strategy and improving our businesses. We still control most of our own destiny, and we're holding our medium-term guidance. We're growing sales and profit fast, and we're achieving this while increasing spend in R&D and developing exciting new products to drive future growth. And we're building our people's capability to enable our improvement activities to accelerate even more. We moved all production out of our Californian helmet facility, three months ahead of schedule. And we're busy ramping up production in Salem and Cleveland. Over the last year, we've effectively built and commissioned an entirely new factory in Cleveland, and we're also improving all of our other plants fast. Our order book has hit another record high. This does give us confidence that, we will continue to grow into the future. We remain on track to achieve our margin targets in 2026, which is a year early. I'll now hand over to Rich. He'll take us through the numbers, and then Steve will come on to the stage and also talk about the respiratory business, which as you would have seen is performing extremely well.
Richard Cashin: Thanks, Jos, and good morning, everybody. So before moving on to the numbers, let's look at what has changed in a very dynamic global environment, both from a conflict and a trading perspective. Government efficiency measures in the U.S. have targeted several areas, including the military. We're closely watching what is happening, but we haven't yet seen anything which we think will lead to a significant change in our customers' buying patterns. Investment in strengthening borders and homeland security looks to be growing, which may yield opportunities, particularly in our respiratory business, given our strong competitive position there. And then there are tariffs. We're not immune to the effect of tariffs announced to date with the direct impact of around $800,000, which we believe we can largely offset through pricing. Indirectly, there are likely to be some knock-on impacts through the supply chain, although again, I don't believe this is going to be significant. On a comparative basis, many of our products are compliant with the Berry amendment, which requires certain categories of product sold to the U.S. DoD to be 100% domestically sourced. Elsewhere, investment in defense spend in NATO ex-U.S. is increasing, particularly towards Eastern Europe. And this has created opportunities for us recently and will continue to do so for the foreseeable future. This is cemented by the widely-publicized use by Russia of the chloropicrin agent in Ukraine, highlighting the importance of strong respiratory protection, where we have a market-leading technical solution. Defense investment growth in Europe is expected to outlive the Ukraine conflict. More broadly, unrest continues elsewhere in The Middle East and Asia. Our ability to manufacture in The UK insulates us from the potential negative effect of tariff reciprocity from non-U.S. nations. As Jos mentioned, we've had a good start to the year with strategic and operational progress feeding through to strong financial performance. The headlines are: closing order book up 24%, revenue up 17%, operating profit up 48%, and EPS up 76%, all compared to the same period last year on a constant currency basis. As many of you know, my preferred measure of performance is ROIC, and we've seen excellent progress here, up 660 basis points to 16.3%, which puts us within striking distance of our medium-term goal of 17% or above. As expected, cash conversion reduced in the first half due to building buffer stock to support our facility move plans and lacking the unwind of a particularly high receivables balance coming into 2024. Even after this, net debt to EBITDA has come in below one-time, a reduction of 0.7 times from last first half. So, a good start. We're growing fast and we're generating good returns on capital. There is, however, much still to achieve in H2 to ensure that we hit our 2026 guidance of 14% to 16% operating profit margin. So, starting with the P&L. And as usual, comparators will be on a constant currency basis. Order intake of $170.5 million gives a book to bill comfortably above one. The record $247 million order book gives us confidence in delivering further growth for the balance of this year and beyond. Revenue of $148.7 million is 16.8% up on last year with strong growth in both businesses. This has dropped through nicely to adjusted operating profit of $17.5 million giving margin of 11.8% stronger than we had expected at this stage. Finance costs came down reflecting the lower average net debt with an effective tax rate of 22% as previously guided. This gives an adjusted EPS figure of $0.388 per share for the first half, up over 76%. The dividend is up 5.6% to $0.076 per share, consistent with the increase at the full year results. Avon Protection has benefited from a healthy order intake in the first half with order receipts totaling close to $100 million. Around a third of this is from one off demand or unicorn orders, as we like to call them, with a balance from recurring revenue as defined at the Capital Markets Day last year. As a reminder, today's unicorns feed into tomorrow's recurring revenue as we continue to grow the installed base. The order book of $94 million is particularly healthy for this business, which typically has a fairly short winter ship cycle, supporting further growth into H2 and beyond. Revenue growth of 12.2% to $75.5 million reflects the previously announced Australian FM-64 respirator order and growth in rebreather deliveries, offset by lower demand in Commercial Americas following a couple of very strong years. Adjusted operating profit of $14.3 million 28.8% higher than last year, gives a margin of nearly 19% for the half with operational gearing and commercial optimization gains underpinned by a helpful product tailwind. For the remainder of the year, we expect second half Avon Protection revenue to be a little higher than H2 last year as we start to work through the Ukraine and NATO backlogs. Team Wendy has also seen further progress in the last six months. Order intake did decline in the first half, lapping a particularly tough comparative from 2024 when we received DoD orders totaling more than $50 million. Nevertheless, the backlog showed continued growth, up over 7% to over $150 million with future DoD orders of over $130 million already in the book. As expected, revenue was up by over 20% as the ACH ramp up effect started to kick in, with commercial helmets and pads also growing nicely. Higher direct costs reflecting Lerner curve and ramp up in inefficiencies offset lower scrap year-on-year, with operating leverage and lower SG&A costs driving the improvements in operating margin. The focus for the remainder of the year will be on stabilizing production capability in our Cleveland and Salem plants, so that we can sustain the higher output volumes expected in the coming twelve months. For the second half, we expect modest growth versus last year. We do not expect the reduced costs from the Irvine closure to have a big impact on the full year 2025 performance, though we are comfortable with our guidance of 14% to 16% operating profit margin in 2026 at a Group level, which clearly implies meaningful improvement in Team Wendy. As usual, this bridge sets out the key moving parts in the reported adjusted operating profit from last year to this year. After a fairly negligible FX impact, the jumping off point on a constant currency basis was $11.8 million. The effect of volume growth, which is essentially this year's volume at last year's gross margin was $7.7 million. Operational gearing contributed a further $2.6 million, with modest growth in overheads at a group level being more than offset by revenue growth, resulting in stronger drop through margin. Going the other way, the inefficiencies linked to the production ramp up on the ACH program, which is really a Lerner curve effect, totaled $1.4 million in the half. Avon Protection margin improvement contributed a further $3.6 million with better pricing, lower scrap and a helpful mix tailwind from higher specification products. This was partially offset by a $2.7 million investment in growth initiatives with increased sales and marketing costs being the single largest contributor. Finally, the last other bar is a headwind of $4.1 million. As usual, this represents a number of things, but in summary, includes growth in discretionary compensation schemes and IT costs. Going the other way, the finance function costs have continued to come down, which I will talk more about in a moment. Moving on to cash flow. Net debt was down by $2.4 million compared to the same period last year. $5.7 million of EBITDA growth was partly offset by a $3.8 million increase in buffer inventory as described earlier. The balance of the $13.7 million working capital increase is largely attributable to higher receivables, as the revenue growth rate accelerated through the first half. This gives cash conversion of 56%, which is clearly below the full year guidance of 80%. However, as the Team Wendy business ramps up through the second half of the year, I would expect, cash conversion to improve meaningfully from here. Cash costs of transformation activities in the first half were $6.5 million and we remain confident in the great payback this investment will deliver. Beyond cash flow from operations, pension contributions of $3 million were in line with guidance. As a reminder, the higher value in the first half '24 reflected a top-up in the plan as part of the agreed triennial valuation. And the other big movements were lower CapEx with last year's number including non-recurring investment in support of DoD programs and purchase of our own shares in support of discretionary compensation schemes. As usual, guidance on a number of these items is provided in the appendix. The important things to pick out on the balance sheet relate to inventory and pensions. As flagged earlier, the higher inventory negatively impacted cash flow and inventory turns in the first half, but this was deliberate and is short-term in nature. We expect to see this start to unwind in H2. On the retirement benefit scheme, the accounting deficit halved from the end of 2024 to $8.5 million following the adoption of a higher discount rate assumption reflecting changes in corporate bond yields. I can also confirm that we have exercised the first option year on a revolving credit facility established last year, which takes us through to May 2028. At the full year results, we provided guidance on expected spend levels on our transformation program. We remain on track to have largely completed the planned program of investments by the end of 2025 with some spend going into 2026. The left-hand column shows OpEx spend year to date of $8.4 million against a planned annual total of $13 million unchanged from prior guidance. We therefore expect spend to decelerate through the second half. The only change versus prior guidance is that we now expect transformational CapEx costs of $1 million for the year versus prior guidance of $2 million as continuous improvement outcomes mean we no longer need to increase our floor space in Cleveland. As a reminder, we expect the footprint optimization program to deliver in the region of $10 million of annualized cost reduction, which represents an excellent payback on the investment over the last two years. So, I've included this slide to bring a bit of balance to the way we talk about Kaizen activities when we present. And we're using Kaizen off the shop floor in all back-office processes as well as on the shop floor, which we talk about a lot. We performed at Kaizen on the close process within the finance team last year with a focus on eliminating waste, defining requirements, aligning processes across the business and removing over processing. The results were impressive. Month end close has gone from seven days to two days. Better defined and streamlined processes have largely eliminated rework. And the finance team, which is now 27% smaller than it was when we started, has significantly more time available for value adding business partnering activity, which, of course, is way more fun than adding the numbers up at the end of the month. Other functions are embracing CI, and we look forward to updating you further in the future. So, finally from me, the guidance for the full year is essentially unchanged from the trading update we released in March, although represents a healthy uplift from our original outlook back in November. Revenue growth year to date, combined with the strength of the order book in both businesses, gives us confidence in achieving revenue growth above 10% and the steps we've taken in improving the business in H1 should continue into the second half, delivering adjusted operating profit margin for the full year of over 12%. Investments in transformation remains broadly unchanged but with less CapEx required. And notwithstanding the relatively lower cash conversion in H1, we maintain our view that the conversion for the full year will be at or above the 80% level as our investment in working capital to support the facility move starts to unwind in H2. I'll now hand back to Jos to talk about strategic progress.
Jos Sclater: Thank you, Rich. I'll say it's great to get the financial results within two days. We continue to execute the STAR strategy. Every six months, we review and refresh the underlying initiatives to reflect what we've learned. But the big picture is that the strategy is working. Growth is increasing and so returns on capital and cash flow. So, we're going to stay the course. Excitingly, we still see lots more opportunity to improve our businesses. The S of STAR is now all about strengthening our businesses through continuous improvement. When implemented well, this is a very powerful way to improve our businesses. To that end, we've developed our own strengthen system to help us build capability across the organization, and to drive improvement in safety, quality, delivery, inventory turns and productivity. As those metrics improve, our financials will follow. This slide summarizes the key elements of our Strengthen System. In the interest of time, I won't explain the system in detail now, though I would love to. We've written a book on the strengthen system aimed at building internal capability, but you are welcome to take a copy home with you if you want. There are some on the front. If you don't take them home, I won't be too annoyed with you. For those on the phone lines, there is an e-book available as well. Just let Gabby know. This slide illustrates our vision for the strengthen system. We want to move from traditional batch manufacturing as illustrated on the left of this picture. Our end state is shown on the right. We want to manufacture to the beat of our customers' demand with the materials flowing wherever possible or pulling from the upstream processes. We want quality built into all of our processes. And this system will result in higher quality, shorter lead times, more reliable delivery to our customers, much lower inventory levels, happier employees and wealth creation. We've recently took all of our senior team to Japan to enhance their ability to lead the change that we want. This intense week-long training course, featured a mixture of lectures, factory visits and simulations, and I've seen a renewed burst of energy as a result with a much better understanding of what we want and all of our factories now improving fast. We're now running so many Kaizens that it would take too long to summarize them. All our plants are taking improvement steps all the time. We've included lots of examples in the appendix, if you're interested. Overall, our operational metrics are improving. During the last six months, we built some buffer stock to support the factory move, and we recruited ahead of the production ramp up in Cleveland. So, improvement in our metrics has slowed a bit. Nonetheless, we're on track to achieve the operational targets we set out at the Capital Markets Day. As we build stronger capability in Salem and Cleveland, I expect to see these metrics start to improve again. In Avon Protection, Steve's business, we focused on scrap reduction. As you can see, we are making excellent progress. The charts on this slide show the scrap reduction on three of our most important product lines. What's interesting to me is that, these lines are very mature. Two of them are over 20 years old. In fact, we've run them so long that the scrap levels have become normal to the people in the factories, but we knew they could be improved. So, we set new targets and focus on taking steps towards them. The results speak for themselves and have helped Avon Protection's margins. And there is even more we can do from here. The strengthen system is part of a broader business system that we use to improve our businesses. This has four elements. We have a strong strategy process, which involves using the power of our own people to develop the strategies for their businesses. We teach them how to do this. When compared to more typical consultant led strategies, our approach increases ownership and therefore, execution. We align the whole organization to the strategy through objectives and key results and measure progress each quarter, learning and course correcting where necessary. We build capability to deliver the strategy using our STAR Academy. This now has a powerful set of unique courses designed to help us build the capability that we need to deliver our strategy. And we drive improvement every week through the strengthen system, which then frees up resource to invest into technology, sales and marketing to drive growth and create future wealth. As our results show, this approach is working. Moving on to Transformation. This slide is now familiar to you. The degree of shading on each star illustrates how far our initiatives have progressed. The green color points show changes since the end of last year. In footprint optimization, we've now stopped manufacturing in California. The lease ends in June of this year. We expect to see the cost reduction associated with this project drop through to the bottom line in 2026. In operational excellence, we're making good progress, as I've already discussed. And in functional excellence, we built the plan to remove SAP from the group, which is anticipated to save us over $1 million a year. In commercial optimization, we remain of the view that we can accelerate sales in both North America and internationally. We're therefore very pleased that Stacy Stern has joined us to lead the global sales team. Stacy is well known to us, having been instrumental in building the very successful Ultra Forensic Technology business. We've also recently increased investment into sales, business development and our marketing team. I'll now hand over to Steve to talk through the very good progress in his division.
Steve Elwell: Okay. Thank you, Josh. Good morning, everybody. I'm delighted to be here today. In Avon Protection, we're making some real progress in the markets you can see here. At the top left, we already know Avon is strong in our core market, chemical, biological respiratory protection. With very good competitive moat, long term sole source contracts and a commanding market share globally. Our strategy is aimed at expanding our business not only in that core market, but across three new markets: for respiratory protection, for non-chem-bio applications, integrated chem-bio protection and underwater respiratory protection. We're also increasing our presence in aftermarket support. Aftermarket support is getting to be really, really important for our users. And that's especially true as we continue to increase our market share with that growing installed base that we have. All of our products have long term support tails, consumables, things like filters. They all need replacing, units need servicing and personnel need training. Typically, we would expect to see around ten years of recurring revenues from after sales support, and we've been strengthening in our team with growing levels of expertise in this area. Our core products continue to see strong demand. Our order book increased 69% year-on-year. And while Ukraine-related orders were part of that increase, even without Ukraine, the order book would still be up around 20% year-on-year. Under our NATO mask agreement, we signed three new countries in the first half, and that now brings us to 30 nations that we supply under that contract. Those new customers are over and above the Ukraine contracts that are funded by NATO countries. Despite international efforts to facilitate a Ukrainian peace deal, Russia does continue to use chemical weapons. And the Ukrainians have been pretty clear with us, that the only masks that really work on the ground are ours. So, we do expect further orders in the second half in support of Ukraine. We were really pleased to sign a long-term contract with Thales to supply parts worth around $10 million over six years with the possibility of some further orders to come. The UK contract with MOD for GSR remains on track and demand for underwater rebreathers continues. The program to equip the Australian military is progressing well. And in fact, we delivered about $6 million in the first half aligned to that program. We're also hoping Australia will now add filters to their contract alongside the FM54 masks. The order book doesn't currently include the expected mask and filter orders from the DoD. We anticipate receiving these orders in the second half, and we continue to work closely with the DoD, on an extension to the M50 supply contract. Nevertheless, good spares and accessories orders from the DoD are continuing. In non-CBRN respiratory protection, we made exceptional progress. We launched our MITR tactical mask in January. For those of you who don't know, MITR is a modular system, fills a capability gap for those who operate in lower threat environments than we would typically our products would typically operate in. So, places like or teams like SWAT teams, for example. Here, you've got high-end protective equipment. It can be cumbersome and it can impact on the operator's mission effectiveness. So, we're starting to see some really early market success with this product. We've already won initial supply contracts with special force users across the Five Eyes community. We're in trials with U.S. and European SWAT teams. But most notably, at the start of the second half, we secured a new program of record with the DoD. That program is called Enhanced Biodefense Respirator or ENBD. The goal of ENBD is to develop an innovative personal protective respirator that's based on our MITR architecture, and we're going to do that in collaboration with the DoD. It will improve the user's comfort, reduce the physiological burden, when operating in those lower threat environments. We're in the really early stages of this program, but we'd expect to move over the coming years to a production-ready system and one that can be fielded across the U.S. military. We're really excited about the potential for MITR and the ENBD program. In integrated CBRN, we're growing our market share after launching our EXOSKIN boots, suits and gloves range. We've now got eight NATO countries signed up to the boots and gloves contract, and we're in advanced discussions with other NATO countries to join the framework over the next 12 months. We won the DoD competition for their hood mask interface program. That's actually three new programs of record with the U.S. government, a win that puts Avon right at the heart of the integration challenges for chem-bio integration. Our EXOSKIN suit range is popular with our customers. We're receiving early orders for complete Avon ensembles, and we're in close collaboration with major NATO and Five Eyes military customers, who've now recognized that the integrated solutions we offer give them significant operational advantages. We're therefore seeing customer requirements and specifications move in our favor. And as a result, our medium-term pipeline in this space is increasing nicely. Finally, we're expanding into the military underwater market with our deep-sea rebreather. In the first half, we secured contract wins with two additional European NATO navies. These build on the significant wins for Germany and New Zealand. I'm also really delighted that very recently at the start of the second half, we entered a partnership with the Royal Canadian Navy to supply their rebreather also, giving us another Five Eyes nation for this product. Our production lines are increasing output to meet this ramp up in demand. We're continuing to see a very strong pipeline for this product. We have more upcoming tenders across NATO and Five Eyes nations and also opportunities for international export. As both Jos and Rich said to you a minute ago, we are demonstrating outstanding operational discipline. Business is delivering a stronger order book, and we're executing on our growth strategy, building our pipeline and accelerating momentum. I'm delighted to be part of the success of this business, and I'm really excited about our future. I'll now hand you back to Jos, who will take you through Team Wendy. Jos?
Jos Sclater: Thank you very much, Steve. Turning to Team Wendy. Order book of $153 million is up around $10 million over the last six months, reflecting very good order intake on both next gen IHPS and on ACH. Outside of the two big DoD programs, we're making progress with continued demand for our bump helmets from the U.S. Navy and commercial helmets. In commercial helmets, we continue to pursue growth in both the U.S. and internationally with our leading technology and the shorter lead times. Lead times have reduced from two to four weeks on EPIC and EXFIL -- sorry, lead times have reduced from four to six weeks on EPIC and EXFIL down to two to four weeks now, and that helps drive continued growth with our customers. During the first half, we launched our new RIFLETECH helmet into the international military and police markets. This helmet can stop common rounds from weapons such as the AK-47 and is the lightest helmet of its kind. It's been very well received by our customers, and we have a good pipeline of opportunities and requests for quotes. We hope to start receiving orders for this helmet in the second half. Looking forward, we have exciting plans to expand our helmet accessories range and launch a new generation of our very popular EXFIL SL helmet. We're now deploying 3D printed lattice structures within our pad systems. This is starting with our RIFLETECH helmet. The lattice pads have an open structure that promotes a high level of airflow, decreasing heat buildup while maintaining the comfortable fit and elite protection that our Team Wendy helmets are already well known for. We've made very good progress on our R&D contracts under the PANTHER research program to advance our ability to predict traumatic brain injury. This will serve as the basis for designing future products. As you can see from the middle row of this slide, we're making real progress towards our medium-term financial goals. Our aim is to have a fast-growing business with high returns on capital in cash. We're making good progress, yet we are not complacent. There is still a lot of opportunity in this business to go for. In fact, every time we do a Kaizen, we discover new opportunities. We try and be transparent about risks and opportunities. We made good progress retiring risk during the first half. We resolved scrap issues on our ACH helmet line, and the DoD approved our new IHPS and ACH production lines in Cleveland. That said, the speed of production ramp up in Team Wendy is unusual and challenging. We're very focused on managing the risk and have made several changes to strengthen the organization and to strengthen our recruitment, training and onboarding processes. To give you an idea of the size of the ramp up challenge in Cleveland, we need to triple production, and we're currently recruiting six people every single week. Those people all need to be onboarded and trained, and finding reliable workers is not always easy. Trump's policies create both risks and opportunities. As Rich has mentioned, the 10% tariff against the UK affects some of our UK mask components, which we are working to mitigate. If any NATO or Five Eyes country were to implement reciprocal tariffs, that would affect us because we make lots of helmets on most of our filters in the U.S. But we do have options to move productions between the UK and the U.S. to reduce the impact of any tariffs, but we won't be making any radical moves, until there's a bit more certainty about the direction. Tariffs do also represent an opportunity for us, because a number of our competitors in the U.S. market make their entire products outside of the U.S. and will therefore be subject to a 10% tariff themselves. We have seen some development programs impacted by DOGE, but DOGE has already been through most of our programs, and all of the ones we like have been kept. We have some interesting international opportunities for our helmets where we are very highly engaged with our customers. We know from experience that this type of opportunity can slip. At the risk of tempting fate, we do hope to have some orders to announce in the second half. So, in conclusion, we're improving our businesses really fast. The transformation program is on track to deliver substantially improved margins in 2026. Our markets remain attractive with European defense spending increasing. And perhaps most excitingly to me, we have a business system, which will continue to deliver strong growth and returns on capital. Thank you very much for your time. We're now very happy to answer questions. Obviously, the new kid is going to get all the hard ones. We're going to take a seat first.
Q - Unidentified Analyst: Right. I've got quite a few questions, but I'll start with three and then come back. Can you -- I got about nine actually. Can you talk about the second half, please, and the work that you still need to do in terms of the evolution of your facilities and your manufacturing footprint? What exactly is the kind of the big-ticket items that you got to get right in the second half? Can you talk please also about competitive landscape on helmets? Clearly, we know you're in a good spot. Just kind of where you are relative to your peers would be helpful. And then this is a slightly longer-term question. Your balance sheet is now below your target of 1% to 2%. What is your ultimate aspiration from an M&A perspective? Or is this just going to be M&A as and when it comes and if nothing comes and buybacks? Or is there a more determined M&A pipeline?
Jos Sclater: Okay. I'll leave answer three to Rich. So, the ramp up in helmets, I'd probably frame it as two things. The first thing we need to do is nail the quality. Cleveland, like actually most of our factories, if I go back two years, inspects quality into the end of the line. That does stop the customer getting defective product, but it causes chaos because then you have to send the helmets back down the line for rework. Our strengthen system, our plan is that we inspect the helmets at every stage in the process. The same applies for respiratory production. So. we're changing all of our lines to right quality criteria, get the quality criteria visible on every stage in the line, define the quality test and then train the operators. That's in progress. I'd say we made very good progress over the last month, but we are still working literally this week on the ACH line. What that will do is it will increase right first time, that will increase productivity, that will increase flow down the lines and that will help us ramp up production. It will also stop the chaos of finding problems at the end of the line. Our Japanese lean consultants often describe it as, can you remember what you had for dinner a week ago? And it's the same with an operator. If they make a helmet and then 10 seconds later, the next person in the line inspects it and says, well, this isn't quite right and hands it back to you, you won't make that mistake again. If it goes to the end of the line and you don't see it for three weeks, no one knows what went wrong by that time. So, we're trying to change the culture. We're training people. We're making good progress on it, but there is more to do for sure. And then we need to ramp up production on both ACH and IHPS. That's really a matter of extra shifts. We're now running sort of one and half shifts on IHPS. We need to get that to two. And ACH, we're running probably two-ish, one and half again. We need to get that to three shifts. So we've got to recruit all those people. We've got to train them. Once we get people in and trained, they like it and they stay, and the attrition is only about 1%. But in the first month, the attrition is actually closer to 50%. So, getting people that actually want to work in a factory is the trick. If we can get them through the first month or two, then they seem to like it. But a lot of them just don't seem to hack it. So that's a bit of a challenge at the moment. But we have made a lot of changes on how we recruit people. Your second question, how much competition? Well, on ACH, we have 60% of that program for the five-year contract period. So, we don't really have competition there. On IHPS, we have to bid for each block. We had two bids in the first half. One of them, we won 60%. One of them, we actually won 40% but at a much better price. And given that we are absolutely maxed out on our production lines, that was not an unhappy result for us. We do think, we still think we are the only helmet manufacturer that is running flow lines through their factories. So, we remain of the view that, we have a competitive advantage over anybody else in the medium-term. Technology-wise, RIFLETECH has just launched best helmet in the world, Andy. I think the customers are going to like it. So, I think we feel ahead on the technology side. And actually, there's some good signs of some new programs of record with the DoD, but we'll see what happens with DOGE and other things. But I would say the relationship is very good with the DoD. We seem to have been down selected for a program that was quite exciting, but if we actually win it, then I'll let you guys know. But relationship is good.
Unidentified Analyst: Capital allocation.
Richard Cashin: So, on current leverage, we're just below the 1x to 2x. We're pretty comfortable with that. That's pretty much in line. I think our primary focus is still execution. So as Jos said, we've got a lot to do in Cleveland to get it up to where it needs to be. I don't anticipate taking my eyes off that ball for the next six months. So, let's get that one done, and we can sort of come back again at the full year. The next priority then is growth. And you guys will see that come through in R&D. You'll see it come through in increased sales and marketing. And in fact, we've started to see that, so we talked a little bit about that this morning. That is priority number one really, is driving organic growth. We're pretty comfortable that we can get the margin range of this business sustainably into that 14% to 16% range. If we can drive organic growth at that level of return, that's a great outcome for everybody. And then, of course, we are continuing to invest and develop the strengthen system that Jos was talking about. This will clearly improve our business even further still, from where it's already been improved. And we do genuinely believe that, this system could be applied to other businesses to improve those at some point in the future as well. So, I mean those are our kind of focus areas in order of priority. Clearly, if when we've done all of that, there is still excess cash being thrown off, then we'll look at other ways of distributing it.
Robin Byde: Robin Byde from Zeus Capital. You made some very interesting comments on tariffs and DOGE. Can you talk about the pricing environment and your ability to actually lift prices? And how does that -- how do you actually do that?
Jos Sclater: Our ability to...
Robin Byde: Lift prices.
Jos Sclater: Steve is the only one affected by what little tariffs we've got. So why don't you talk about that?
Steve Elwell: I'd just multitask your question, I guess. So, on DOGE, like pretty much all my programs have been dodged, if that's the term we can use. And we haven't really got any fallout. I think people inside the DoD, probably a little bit uncertain, creates a little bit of opacity, just navigating through that. But in terms of the actual program funding themselves, that's pretty good. The M50 contract is up for renewal. Pricing could be on the table there. I want to say, we're close to the DoD. We're working with them about what that extension might look like. In other contracts, where we have commercial pricing, we can be competitive. We know we have discriminators on our products. We're not a low-cost business. We don't chase that business. So, we do look for good commercial returns and some of the improvements in the margins you've seen in Naval Protection, a big part of that is down to better commercial pricing negotiation structures we've got in place with customers. So. we're not as hamstrung as you might immediately think when you look at that.
Robin Byde: And so how quickly can you push through price increase if you get hit with large additional costs or if there is a reciprocal tariff impact that kind of thing?
Steve Elwell: On most of our contracts reasonably quickly, yes, I would say. I don't put a number on it because I don't know, but reasonably quickly.
Robin Byde: Thanks.
Jos Sclater: Just to be well, two things actually. Firstly, since DOGE, he's actually won the ENBD program of record. So that's a good sign. Programs are still flowing out of the DoD to us anyway. On the centrifugal tariffs, Steve can make masks, the same masks in the UK and the U.S. So, unlike maybe some people, we can switch production between those two factories depending on the tariff environment. It's not quite so true with filters, but math we can do that.
Richard Cashin: Yes, we can. Tariffs don't keep me awake at night. What you're getting at.
Robin Byde: Actually, just to clarify on the competition. Are we talking about MSA and CADRE? Although those are two key names.
Jos Sclater: Well, I don't in Masks, but do you want to talk about the competitive environment in Masks? Why don't you do that?
Steve Elwell: Yes. Competitive environment for us in Masks, everybody tries to copy our products. I'm going to be quite arrogant. We've got the world leading product in that M50 baseline. And what goes from it, I was absolutely delighted Australia moved immediately to a 54. I think that's very forward thinking of the Australians to do so. So, we technologically wise, we stay ahead with our 53 and 54 platforms well ahead of the competition. On rebreathers, we've got three to five-year locked in discriminators through various patents and bits of IP.
Robin Byde: Thank you.
Jos Sclater: I don't think MSA is really a competitor of ours in masks. And CADRE is more of a distributor, I think. They're not really, I think they make some helmets maybe. They don't make Masks.
Afonso Osório: Hi, good morning. It's Afonso Osório from Barclays covering for Milene Kerner. I have three quick questions, if I may. The first one on growth. Rich, you mentioned you expect modest growth for Team Wendy in the second half. Just wondering what how that compares sequentially versus the first half of the year as I appreciate you have tougher comps from here on out? The second one on margin, just wondering how you budget that internally in terms of the medium-term targets you have, the 14% to 16% in terms of what needs to happen to achieve the lower end of the range and the upper end of the range. I know there's still a lot of investments to do left, but just wondering how you budget internally and your targets for the medium term? And then just lastly, on the whole European opportunity you guys have for the next 5 to 10 years. I mean, you mentioned a lot of examples in slides on the contracts you have, contract extensions, partnerships, et cetera. But in the whole context of increased defense spending in Europe, how well you're positioned for that and how big can that opportunity be for you? I appreciate that we're very highly exposed to UK in the U.S, but Europe should be a big opportunity for you. So just wondering what your thoughts on that.
Jos Sclater: Well, I think if Rich takes the first two, but maybe we'll do the third one first, give him time to think. Steve can talk about respiratory in Europe. On helmets in Europe, we're definitely seeing some reequipping. Definitely, more troops help or at least not cutting troops, but I think we'll actually see more troops across Europe, every troop needs a helmet and a mask, so that is very good for us. But we are also seeing countries step-up the protection level on their helmets. That's also good for us, because our helmets are the leading edge on the technology side. So, we are talking to a European military about selling helmets into them. It looks hopeful, but as I say sometimes these things can slip and sometimes you can get surprised. We have not traditionally tried to sell helmets outside America because we've been absolutely flat out in our factories. We're now starting to get our head up and work harder to build the pipeline in Europe, and we are seeing that pipeline progressing quite well, which is why I said, we hope to have something to announce in H2 on that. We have recruited three -- well, two salespeople and a category manager in Europe just on helmets. We've done that in the last six months. So, part of that SG&A going up is investment into sales. It will take them a while to build the pipeline in Europe, but we do think, we'll get more sales over time.
Afonso Osório: Respiratory in Europe?
Steve Elwell: Masks. We're already well covered, as you know, through the NATO contract. We mentioned 13 nations. And of course, we have others that are NATO nations in Europe that are outside of that contract. We're even the countries we don't tend to win, so some more difficult countries, France, Germany, where it's more difficult to get the military mask, we still have the special forces users, we still have the police user community in the law enforcement community in those nations. Growing defense budgets, therefore, are only a good thing on the back of that installed base we had. I also talked a little bit about the aftermarket that we're going after. And again, we've sold in excess of 0.5 million masks now just through that NATO contract. We're only halfway through that. And as that installed base grows, Rich rightfully said, we install a mask and then we pull through 10 years of recurring revenue on that. I think the other part in Europe, I'd talk about is the sort of impact from Ukraine has created further legitimacy, for want of a better word, of CBRN that perhaps a few years ago started to feel a little bit outdated. We've seen those tactics being used, and it's been a real problem for the Ukrainians in defending themselves. And so, you've got growing defense budgets, but an increasing urgency that Europe really does need to protect itself against that kind of threat. We're clearly in a strong position to capitalize on growing defense budgets.
Richard Cashin: On the numbers, so Team Wendy growth, as a reminder, so H1 growth this year is lapping an H1 last year that didn't have ACH. So that's the real driver of the 20 percent-ish revenue growth you've seen. Interestingly, if you look at it sequentially, it's not nearly as significant because H2 last year had ACH in it. H2 on H2, therefore, is going to be nothing spectacular. The question was sequential H2 on H1 assume flattish, and you won't be far wrong. It might be plus a bit, minus a bit, but it will be pretty close to flat. And then, the variability on the 14%, 16%, that's a really good question. It's probably worth reaffirming the confidence in the 14% to 16% before we get to what might take it to the upper or lower end. And that is the drop through of the $10 million of annualized benefit cost reduction effectively, as a consequence of the closure of the Irvine facility. So, we're very confident in getting into the range. What really moves it around inside that range? There are going to be a number of things, right? On growth, if we see opportunities to invest good quality R&D in a good quality development product, we'll do that. That might move it around because clearly, we don't capitalize that sort of expenditure anymore unless we absolutely have to. Volume is a big determinant. We've done a lot of work on getting the cost base of this business right. And therefore, when revenue grows, as you've seen in the respiratory business this year, it drops through remarkably strongly. So, if revenue growth where our medium-term guidance is greater than 5%, so let's assume that applies to 2026. If it comes in a bit above that, greater than 5%, then that will drop through at a better drop through margin. So that's what moves us around inside that range, if that helps.
Afonso Osório: It does. Thank you very much.
Jos Sclater: We don't have a budget for next year.
Richard Paige: Richard Paige from Deutsche Numis. Just an addendum to that European opportunity question. How -- what sort of lead time or do you would you get on that and be able to fulfill those, sort of, orders if you did suddenly get a surge in demand on troops on that side? Number two, U.S. Rebreather, is that opportunity completely faded away or is that still out there? And again, probably fulfillment time frame given you've already got a good order pipeline. And thirdly, I feel like, Jos, you've been held back a little bit by your team, because I think you're looking at JKK procedures in the factory. Is that right?
Jos Sclater: Yes.
Richard Paige: Is there more you want to discuss on that? I'll just give you a forum to say what other opportunity you might have.
Jos Sclater: Yes, exactly. Actually, I'll ask Steve to talk about lead times on the Ukraine orders in particular because they're a bit of an exception because they do often want them very quick. Lead times generally if you are interested in the strengthen system, you'll see that level loading our plants is super important to us. Actually, for two reasons, firstly, if you level load the plants, you use your labor much more efficiently because if you have big peaks and troughs, they're either stressed or underutilized. But the other big thing about level loading plants is that if your plant volumes keep going up and down in a very volatile way, it whips up through the supply chain and causes them absolute chaos. And in some cases, we are the supplier to ourselves. So, we actually see that ourselves with the U.K. Supplying the U.S, for example, or actually our Salem plant supplying Cleveland. So, we know how it feels. It feels awful when you get these surges in demand. So, what we've worked really hard on is making sure that we have good visibility on the pipeline and that we can work with the customers to get the orders in a more level loaded way. And actually, Steve has been particularly good on saying to customers, well, do you really need 30,000 masks in one drop? Or can we spread it over, let's say, three deliveries? Or in the case actually of rebreathers, I won't name the customer, it's a bit unfair. But originally, they wanted hundreds of rebreathers in one drop, and now they're taking 30 a month. That is so much better for us, but it's also so much better for our supply chain. And it's partly just a mentality thing. We weren't asking the customer do you mind if we deliver in monthly drops? They can't really absorb everything at once anyway. So, it's sort of win-win for everybody.
Steve Elwell: Lead times on Ukraine. Well, it was a bit broader ramp up in Europe, wasn't it, was your question as opposed to specifically Ukraine, Richard. So, I think we've we're clearly quite busy at the moment. So there have been quite a lot of conversations. We're very close to our customers. And so, in the example of Ukraine where they've needed things really quickly, we're able to work with other NATO nations to say, can we move orders around? And typically, I'd say most NATO nations have been fairly accommodating of that. We possibly could ramp further on capacity if we wanted to. We're not, for example, running three shifts at the moment in all of the factories. So, there is pending resource constraints, pending supply chain constraints. There is a possibility we could ramp further. But I think, we also maintain that very close relationship with our customers. So, it's highly regular that we get a sudden, here's a massive surge of respirators that we need now. We do -- Jos, rightly just explained, we do try and help educate our customers on sort of where lead times happen to be at the moment.
Richard Paige: U.S. Navy?
Jos Sclater: Well, we're still working with the U.S. Navy. They're actually visiting us on Tuesday. Steve and I are seeing them. I don't know what that will lead to, but we're definitely still in contact with them. They did send a nice e-mail yesterday saying they had good feedback from the Germans. So, who knows? Definitely still alive, but there isn't actually a procurement process at the moment. So, I wouldn't say, there's going to be anything fast. But the opportunity is still out there and we're still working with the U.S. Navy.
Steve Elwell: Yes. I was just going to build on your point around what Germany said. I think at the risk of my own sales team is probably watching this. Our best sales team are our current customers in the MCM landscape. It's a reasonably small community and we've developed a very good reputation, not just for the product, but for the broader expertise and service we provide behind that product. And I think that stands us in very good stead for some of the competitions coming up. Jos is right. I don't think the U.S. quite knows where it's going to go with that program, but it definitely isn't dead. They will need a new rebreather. Just we've got to work through the usual government machinations as to how you get to a what will almost certainly be a competitive tender.
Jos Sclater: JKK, which stands for you're good at this.
Richard Cashin: Ji-Kotei-Kanketsu.
Jos Sclater: It is explained candidly in the strengthen system. But sort of as mentioned earlier already, what we're trying to do is all of our lines, including MCM, actually, we just did a Kaizen on this two or three weeks ago. The idea is to stop defects progressing through the line and detect them immediately and immediately rework them before they go down the line, which involves an entire cultural shift, because the operators have to stop the line if there's a problem and then people have to quickly align on what the problem was and resolve the root cause. It has lots and lots of benefits, but it improves productivity, improves your quality at the end of the line. It reduces rework rates. It reduces scrap rates and actually makes the employees happier, because they don't like everything being sent back from the inspector at the end of the line saying this isn't right. And people just self-learn. If you give them instant feedback, then they will stop making the mistakes, whereas if they get three-week-old feedback, they don't. So, it's harder than it sounds, because you have to decide what you're going to inspect at every stage, how you're going to inspect it? In the case of MCM, we actually have to build little electronic things to test the electronics at each stage. And then you have to write that into the work instructions and then you have to train the operators on those new inspection criteria and then you have to sustain it. And when you're recruiting six operators every week, you've got to train every one of those, not only on how to make the product, but also how to inspect the product at their station. At the risk of really boring you, but you did ask. There are two ways of doing it. Either the next operator can inspect the work the previous operator has just done or you can inspect your own work, which is slightly even marking your own homework, but it's even more instant feedback. We actually do both. So, the operator inspects their own work and then the very next person inspects the work of the previous person. By the way, this does sound like common sense, but then all of continuous improvement is common sense. The question is how do you do it, but there's nothing very complicated about it conceptually.
Richard Paige: I knew you wouldn't let me down.
Andrew Humphrey: Andrew Humphrey at Peel Hunt. Just a couple if I can. You talked about DOGE and going through programs and looking for efficiencies and kind of what we do want to do and what we don't want to do. And I think, Jos, you sort of said you've kept all the programs you like, which sort of sounds like there were programs in there that maybe kind of didn't really make sense from your point of view and the U.S. government came to the view that didn't really make sense from their point of view as well. Is that a sort of fair way of characterizing it? And maybe…
Jos Sclater: Do you have another question or should you? You can add one after I've answered that one.
Andrew Humphrey: I shall do that.
Jos Sclater: Actually, when I originally wrote the script, there was a program that we thought had been killed. It now looks like it hasn't been killed. It's morphed into something else. Do you want to talk about this one?
Steve Elwell: No, I can't. We can't really talk about that.
Jos Sclater: But I'd say, at the moment, we haven't lost any programs. One of them looks to have slightly changed direction, but is still going. By the way, it's a program that wouldn't make any difference within the next 10 years probably anyway.
Andrew Humphrey: Thanks for that. Maybe second question then on RIFLETECH. I think you've indicated possibility of some second half orders there. I guess the nature of that business being commercial and international is that there's the potential for it to be a bit more ad hoc, a bit more stop start, at least in the early phases. How are you thinking about kind of integrating that into what we hope will be a very smooth ramp in Cleveland?
Jos Sclater: That's a really good question. So, there is a difference between international militaries and police forces. Police forces, we do expect to get in the second half. We can see a pipeline. I think that might be more 20 here, 30 there, 100 here, and it might be more one off. If we win a country military, which actually we hope we will in H2 on RIFLETECH, then I think that will be more every year we order 300 or 500 or something like that. And typically, if you win a military, you'll get you'll probably get a deployment for maybe five years and then you'll get sustainment when they need a replacement helmet.
Richard Cashin: It is a great question for another reason actually, because it highlights it's a useful opportunity to remind people how the T business currently works. If we look at helmet sales by volume, the commercial part of Team Wendy is significantly bigger than the military and, if you like, the long term contracted bit. Numerically, it's smaller because the value of the product is lower. But the actual volume going through the plant in support of commercial orders, which are by definition very fast win and ship, is extraordinarily high. So, it's not a business model we're unfamiliar with. What we're doing is injecting higher levels of capability and technology into a preexisting model.
Jos Sclater: Yes. You asked -- you actually asked a sort of second question in amongst your question, which was quite cunning. The line so the lines in Cleveland are separate. So, there's actually there's one IAF sign, there's two ACH finishing lines and then there's an EPIC line and then there's a commercial line, which is actually a mixture of EXFIL and RIFLETECH. There's two different EXFIL types of helmets. So that line is designed to be flexible. And we are very focused on just in time. So, we actually write standard work for different volumes. So, you'll have standard work for this, what we call, takt time, customer demand. So, you maybe need five operators for this amount of demand, three operators for this amount of demand, two operators for this amount of demand. And we'll have standard work for each demand level. And then, when we look at the pipeline, we'll decide on how much resource we need to allocate to that line. As things stand, we are expecting actually to spin RIFLETECH up in the second half. I think it might be challenging because it's a new helmet, but it will not impact the DoD line that's completely separate.
Andy Douglas: Andy from Jefferies, back with my final three. Can we talk about inventory turns? My eyesight is pretty bad nowadays, but it looks like your strengthen chart gets you to 15x inventory turns. You're currently at three. I know that you've got a buffer stock and all that kind of stuff, so I get it. Is 15x in our forecasting period of three years or is it a long-term thing? And is it a bit of a hockey stick or a nice straight line? Second question is a quick one for ENBD. Who owns the IP? If you're working with the U.S. from the program of record perspective, are you guys keeping IP like you have on the gas masks? And then final question is, one, may have been a bit thick. Your aftermarket opportunity sounds very attractive. My understanding was you have filters contracts, which come in and out depending on whether you win the bid online. Who is winning the aftermarket opportunity currently, if you're now going for it? Is this a new opportunity? Is it one that someone else is winning? And why has it not been an opportunity for Avon in the last 10 years?
Jos Sclater: Excellent. Two questions for Steve. On inventory terms, so I actually did write this into my script and then I thought it was too long so I cut it out. But the targets we have for continuous improvement are very ambitious. We want to get to inventory turns of 15%. We want 20% productivity every year. We want 40% scrap reduction every year and so on. You should not take those as guidance. The reason we create stretching targets like that and get the organization aligned around them is because we want it to be crystal clear to them that there's no way we'll hit the targets unless they do something very different, because if you set a target of improvement returns from 2% to 3%, they'll just think, well, I'll just do a little bit more of what I'm already doing. But we're not interested in going from two to three. We want to go from two to or certainly over six. Will we ever get to 15? I think so. I think it would take 10 years, because when you start getting over 10, you've got to work with your supply chain. We would have to have our lean teams go into our suppliers and move them to just in time. That's going to take some time. So would I -- I mean, WOMO got there after nine years, so it's definitely doable. It's not a ridiculous target, but it's in the zone of an analyst. It's probably off the end of day.
Andy Douglas: ENBD?
Steve Elwell: ENBD, the answer is yes. It's based on our MITR architecture. We've launched that commercially, as I talked about. So, all that IP that's gone into that so far sits with us. We'll work with the DoD on any sort of foreground IP that might come out of ENBD, but similar to the M50 program is how we envisage that program going forward. So hopefully, that's a fairly simple answer. Aftermarket, probably a bit more complicated. I think if I'm very reflective on this business, I think it has been guilty in the past of letting some of that aftermarket go in the early stages when the installed base on M50 was going out. Some of it is done by militaries themselves. They're not great at doing that. They don't have the best logistics planning systems and they're sort of coming round to accepting that fact. So that creates an opportunity for us. And then beyond that, it's really done by small distribution type partners who sit out or dotted all across the market. Customers increasingly want us to engage in that. We're certainly expected to provide that. But I think it becomes our products are used. There's the sale of things like filters into the aftermarket, but then also masks get used. They need cleaning. They need decontaminating. And there's a lot of know how goes into being able to do that to make that product reusable again. And so yes, we see it as quite a big opportunity for us to really repatriate some of that.
Andy Edmond: Andy Edmond, Equity Development. I'll be quick. I can see people looking at their watches. Steve, just a specific on rebreathing. You're obviously very pleased with where it's now got to addressable market and where do you think it can get to in the medium term?
Steve Elwell: I think our pipeline over the next three, four years looks very solid at marginal growth rates as to what I think we'll achieve this year on MCM. Longer term, I'm really excited about creating what we would call a shallow water variant of our MCM. So, our MCM rebreather is a deep-sea system, serves 100 meters under the sea. It's explosive ordnance disposal. There is a three times bigger market for combat swimmers. There's people who do covert entry type stuff that do crazy things like hang on the outside of submarines and things like that. We're working on developing MCM based architecture for that shallow water variant, probably three, four years away before we really hit the market on that. But we see that as both roughly about three times the size of the market for our deep-sea rebreather.
Andy Edmond: Good. Encouraging. Thank you. And then bigger picture, Rich touched on applying Avon Business Systems to another business and it came up briefly at the AGM. It's hard in that sort of M&A to suddenly decide again do it. There is a process to identifying targets. I'm just curious if that's already started or whether it's seen as a distraction on the excellent work being done on focus and all the internal
Jos Sclater: We're not looking at M&A opportunities at this point. We believe that the best way to generate wealth for shareholders at the moment is growing the business organically and self-help. We actually think that there'll be opportunities for at least the ten years to come to keep improving our businesses. Nonetheless, we definitely do think we could improve other businesses. And at some point, maybe we get to that, but for now it's not our focus.
Andy Edmond: Yes. Well, progress speaks for itself and it's encouraging to hear of all the opportunities you're still identifying. So, it makes sense.
Jos Sclater: Thank you. Pete's giving me the cut my neck sign. So, I think that means that we need to call it a day. Thank you very much everyone. Thanks for your interest.